Operator: Good morning and welcome to the AGNC Investment Corp. Second Quarter 2018 Shareholder Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference call over to Katie Wisecarver in Investor Relations. Please go ahead.
Katie Wisecarver: Thank you, Austin, and thank you all for joining AGNC Investment Corp.'s second quarter 2018 earnings call. Before we begin, I'd like to review the Safe Harbor statement. This conference call and corresponding slide presentation contain statements that to the extent they are not recitations of historical fact constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are intended to be subject to the Safe Harbor protection provided by the Reform Act. Actual outcomes and results could differ materially from those forecast due to the impact of many factors beyond the control of AGNC. All forward-looking statements included in this presentation are made only as of the date of this presentation and are subject to change without notice. Certain factors that could cause actual results to differ materially from those contained in the forward-looking statements are included in the Risk Factors section of AGNC's periodic reports filed with the Securities and Exchange Commission. Copies are available on the SEC's website at sec.gov. We disclaim any obligation to update our forward-looking statements unless required by law. An archive of this presentation will be available on our website and the telephone recording can be accessed through August 9th by dialing 877-344-7529 or 412-317-0088, and the conference ID number is 10122211. To view the slide presentation, turn to our website, agnc.com, and click on the Q2 2018 Earnings Presentation link in the lower right corner. Select the webcast option for both slides and audio, or click on the link in the conference call section to view the streaming slide presentation during the call. Participants on the call today include Gary Kain, Chief Executive Officer; Bernie Bell, Senior Vice President and Chief Financial Officer; Chris Kuehl, Executive Vice President; Peter Federico, President and Chief Operating Officer; and Aaron Pas, Senior Vice President. With that, I'll turn the call over to Gary Kain.
Gary Kain: Thanks, Katie, and thanks to all of you for your interest in AGNC. Volatility in rates and equities return to more normal levels in the second quarter following the spike we experienced early in the year. During the second quarter, the U.S. economy continued to show significant strength, especially on the employment front, despite the escalation of trade tensions. We did however see a modest decline of momentum internationally casting some doubt on the sustainability of the global synchronous growth narrative. The decline in volatility witnessed in rates and equities during the second quarter was also apparent in both agency MBS and credit spreads, with both largely unchanged to quarter-over-quarter. Interest rates rose modestly and the yield curve continued its flattening trend. The spread between two year and 10 year swap rates closed the quarter at only 14 basis points. For comparison the spread was around 90 basis points at the end of 2016 following the Presidential election. The flat yield curve can be a headwind to earnings, because it eliminates a levered investor’s ability to boost net interest income by merely running a larger duration gap. That said, our current quarter’s net spread income of $0.63 was within $0.01 of the $0.64 we reported in both Q4 2016 and Q1 2017, when the yield curve was considerably steeper. A key driver of these results is the fact that AGNC generally runs a relatively small duration gap and hedges across the curve, which reduces our alliance on the shape of the curve for the bulk of our income. We also benefited from the improvement in the spread between our repo rates and three months LIBOR during this time period. Looking ahead, we remain somewhat bearish on interest rates in the near-term, but continue to believe that longer term inflation expectations will remain well anchored, making it difficult for rates to increase significantly. Additionally, while it seems a little too early to call for the end of this long running expansion, there appear to be more headwinds building on the horizon, including escalating trade tensions, renewed challenges facing the EU, slowing growth in China, along with higher short-term rates at a flat yield curve. At this point, I’d like to turn the call over to our CFO, Bernie Bell, to review the highlights for the quarter. 
Bernie Bell : Thank you, Gary. Turning to slide four, comprehensive income was $0.34 per share for the quarter, net spread and Dollar Roll Income excluding Catch-up Am was $0.63 per share, representing a $0.03 increase over the prior quarter. As Gary mentioned, our net funding costs benefited during the second quarter from the favorable spread differential between our repo funding rate of three months LIBOR received on our pay fixed swaps. As Peter will discuss in a few minute, this positive funding dynamic subsided somewhat during the second quarter, but remains favorable especially compare to historical levels. Tangible net book value declined to $18.41 per share during the quarter or about 1%. While our economic return, which includes $0.54 of dividends paid for the quarter was a positive 1.7%. Thus far for the third quarter our current estimate of tangible book value is largely unchanged despite the recent increase in interest rates. Moving to slide five, our investment portfolio increased to $77 billion during the second quarter, our at risk leverage increased slightly to 8.3 times tangible equity as of the end of the quarter. While our average leverage for the quarter was down slightly at 8 times tangible equity as a function of the timing difference between equity issuances and asset acquisition. During the quarter we successfully raised close to $800 million in new capital, through a $633 million follow-on equity offering and a $155 million from at the market equity offerings. This new equity was slightly accretive to book value, but more importantly as an internally managed REIT, this capital lowered our operating expense ratio as a percent of stockholders equity by approximately 6 basis points and brings our expense ratio to just under 80 basis points of our ending [ph] equity, which is less than half of our peer group average. At this point, I would like to turn the call over to Chris to discuss the market and our agency portfolio.
Chris Kuehl: Thanks, Bernie. Let’s turn to slide six. The yield curve continue to flatten during the second quarter with 2 year and 10 year swap rates increasing 15 and 21 basis points respectively. Swap spreads on the intermediate to long end of the curve were a few basis points wider during the quarter and as a result mortgage performance versus swaps and treasuries was mixed with most coupons within a few basis points of unchanged as of June 30th. Thus far into the third quarter, agency MBS have performed well tightening a few basis points along with other risk assets. Turning to slide seven, you can see in the top-left chart that the investment portfolio increased to $77.1 billion in market value as we fully deployed the capital raise during the second quarter. On a net basis, we added approximately $8 billion in MBS with purchases predominantly in production coupon 30 year TBA in specified pools. On the top-right of slide seven, you can see that prepayment speeds on our specified pool holdings continue to perform well, given the combination of asset selection and the overall interest rate environment. I'll now turn the call over to Peter to discuss funding and risk management.
Peter Federico: Thanks, Chris. I'll start with a brief review of our financing activity. Our average funding costs, which includes the cost of our repo funding and the implied financing rate in our TBA assets increased 30 basis points in the second quarter to 192 basis points. Over the same period, the cost of our pay fixed swap portfolio improved 31 basis points and shifted to a positive carry position. As a result of this offset, our aggregate cost of funds, which includes our repo and TBA funding as well as the cost of our swaps improved a basis point to 167 basis points for the second quarter. On slide nine, we showed the funding dynamic between our repo funding and three months LIBOR. As expected, the spread differential moderated during the quarter from the extreme level that we saw at the end of the first quarter. Despite this decline, the differential today continues to be very favorable. Over the near-term we expect our repo funding rate to remain on average in the LIBOR minus 10 to 20 basis point range. Turning to slide 10, I'll quickly review our hedging activity. Consistent with the increase in our capital base and corresponding growth in our asset portfolio, we increased our hedge portfolio to $68.4 billion. The most significant change came in our swap portfolio where we added new pay fixed swaps, as well as took delivery of $1.2 billion of new swaps associated with the expiration of in the money swaptions. Finally on slide 11, we provide a summary of our interest rate risk position. Given the modest uptick in rates during the quarter, our duration GAAP widen slightly to 0.8 years, but our extension risk continues to remain limited. With that, I'll turn the call back over to Gary. 
Gary Kain: Thanks, Peter. And at this point, I'd like to open up the call to questions.
Operator: [Operator Instructions] Your first question will come from Doug Harter with Credit Suisse. Please go ahead. 
Douglas Harter: Thanks. Gary, I was just hoping to talk a little bit about your comments about the flatter curve and not needing to run kind of as -- or not getting paid to run a duration gap. And I guess just in that context, can you talk about kind of the decision to have your duration gap expand a little bit during the quarter?
Gary Kain: First off, the expansion in the duration gap was really a function of just the moving interest rate. So essentially it wasn't us actively trying to increase the duration gap. So that was just to quickly address that issue. But the other thing to keep in mind is while you're not paid for a duration gap the challenge in managing a levered mortgage portfolio is understand that you always have two sided interest rate risk. And if you look at page 11 in our earnings presentation, what you'll see is that we have in an up 100 basis point rate move, we have 0.9 years of extension. On the other hand we have 1.6 years of contraction in a down 100 basis points scenario. So one of the things that we really try to think about in the risk management of the portfolio is look, we know that there are risk that interest rates can move. And if you look at our portfolio essentially it has more exposure to call risk or shortening of duration than it does to extension. And for that reason the lowest risk position is actually to have a positive duration gap. Now, I mean we could argue about whether that should be 0.5 years or something like that, but something north of zero in duration gap is actually the lowest risk position. And we obviously don’t only position -- there’s obviously other factors that go into it. But I think that’s really the most important thing for you to think about is that it is important for us to use the base duration gap to help manage kind of the range of different scenarios that are possible even with our positioning here, again the exposure to a down rate scenario is significant.
Douglas Harter: That’s helpful. And then in prior calls you’d talked about the appetite or willingness to leverage increase, can you just talk about kind of what are your views on that today and the relative attractiveness of AGNC MBS in order to add to the portfolio?
Gary Kain: Sure, so nothing has changed big picture, we believe our leverage right now is lower than kind of a steady state level where we would like it to be kind of in -- whatever call it over the next few years. But we’re waiting for a catalyst and that catalyst would likely be wider spreads, could be a change in the interest rate environment, but more likely will be a move toward wider spreads, which we do think again that mortgage spreads are probably biased a little bit wider and we do expect a little bit more spread volatility now that the Fed’s purchases are pretty small. So we’re going to look to be opportunistic about that. But I do want to be clear nothing has changed, I mean, we -- from what I’ve been saying over the last year I think the steady state for leverage in the future is going to be noticeably higher maybe closer to 10 times. But we do want to have a catalysts; we want to spreads a little wider before we start moving in that direction.
Douglas Harter: Great. Thanks, Gary. 
Gary Kain: Thank you.
Operator: Our next question comes from Rick Shane with JP Morgan. Please go ahead.
Rick Shane: Hey, Gary. Thanks for taking our questions. When we think about this sort of contour of the quarter, one of the things that we observed was that there was a slight down tick in terms of book value between your second month mark and your final mark for the quarter. And what we saw was essentially rates flat and spreads tighten a little bit during that time, so that surprised us modestly. Just curious what you’re seeing and if we’re interpreting things correctly?
Gary Kain: So first off, I want to -- in looking at the position there a lot of things that factor in, I mean, one of the factors is kind of how treasury has performed versus swaps versus mortgages and specified mortgages. And so I think look when you look at the quarter and the changes you’re talking about moving half a percent, a percent here or there. I think it’s hard to fine tune and say exactly what the drivers are. And I think from our perspective the portfolio performed over the course of the quarter and for that matter individually kind of as expected both -- I do think that you have to be careful especially with curve movements and all of these different factors trying to fine tune book value to such small increments.
Rick Shane: And look no question about it and again we’re at the disadvantage of we’re working off the balance sheet that’s three months old at any given point as well. I was just curious that usually directionally even on a month-by-month basis we’re pretty close and just curious if there’s anything that shifted in your portfolio in the last month as you deploy new capital?
Gary Kain: No, nothing material there, again I think the noise probably came from relationship between treasuries and swaps reps, swaps and that was probably what created the noise there.
Rick Shane: Got it. And if you didn't tell, just one last question, again in sort of in the margin aware [ph], but did see the CPRs tick up a tad, which just given the direction of interest rates contradicts what we would expect and again going from 8 to 10 sort of around in there, but curious what you’re seeing there?
Gary Kain: Yes, sure. So, you’re talking about actual CPRs, I mean, it’s just housing activity in peak summer seasonals, which should start to turn as we move into the fall.
Rick Shane: Okay. So, would you expect to see back into single-digit CPRs as we move through the year?
Gary Kain: Yes, more or less.
Rick Shane: Okay, great. Thank you so much guys.
Gary Kain: Thank you. No, go ahead. Thank you.
Operator: Our next question comes from Bose George with KBW. Please go ahead.
Eric Hagen : Thanks. Good morning. This is Eric on for Bose. Just a follow-up on prepayments speeds, actually just turning to your forecast of 7 CPR for the lifetime forecast. Is there an assumption for the path of interest rates in there that’s different from the forward curve or is there something that’s more specific to the collateral that you’re buying that’s moving that forecast lower? Thanks.
Gary Kain: So, I mean, basically our forecast on prepayments speeds is tied to the forward curve. And so, it is -- it does look at the specifics of our collateral and that absolutely factors into the forecast, but the forecast relates again to the forward curve. And while the curve is flat, and it doesn’t build in that much of a rise to interest rates that increase is sufficient. And again, keep in mind the seasonal factors that Chris mentioned, we are in kind of peak seasonal factors now, which are elevating prepayment speeds as well over kind of even a yearly average.
Eric Hagen : Yes, that makes sense. Thanks, Gary. And then can you just give us a sense for levered returns that you’re currently seeing on 30-year specified pools? And if you can include in your answer what the level is on one-month repo that would be helpful? Thank you.
Gary Kain: Look, I think returns are still in the neighborhood of we’ll call it very low double-digits. And I think that’s helped by our very low expense ratio. So, again for AGNC, there is very little difference between our kind of gross ROE and our net ROE when our expense ratio as Bernie mentioned is sub-80 basis points. And again, that’s without even factoring in the MTGE management income or the termination fee income. So, big picture, we are still comfortable with where those returns are. And again, that’s on new money and that’s inclusive of the yield curve where it is. The second part of your question was on repo rates and about 2.15% I think is kind of where repo is.
Peter Federico: Yes, as I said before, I think a reasonable estimate would be using three month LIBOR as a benchmark, we’ve been seeing our funding rates at LIBOR minus 10 to 20 basis point. So, if you want to do it off one month, that’s probably plus 5 or 10 basis points to one-month LIBOR, but they have improved a little bit since quarter end. But I think that’s a reasonable estimate to use going forward.
Eric Hagen : Got it. One more for me if you don’t mind, if it -- just on your comments from the shape of the yield curve from the opening comments. If it really does look like the yield curve is going to invert, can you just comment on what you think mortgage spreads will do in that kind of environment, would they be relative to swaps and treasuries? Thanks.
Gary Kain: Sure. I mean, the trend is such that an inversion certainly isn’t out of the question at this point. And look, we do think that mortgage spreads are -- will likely widen in an inverting yield curve. And so, I think that will be an offset in a way toward the negative impacts of a -- of the inverted yield curve. But an inverted yield curve is something that’s obviously not only -- will not only be a challenge for someone like a REIT, but it’s a challenge for our bank, it’s a challenge for all investors in spread product and in mortgages. And so, I think along those lines, it is logical to expect that mortgage pricing to adjust and spreads to be wider. And so, that’s partially -- and that’s a factor in our decision not to take leverage up at this point in time.
Eric Hagen : Yes, that’s helpful. Thanks for the comments, guys.
Operator: And our next question comes from Trevor Cranston with JMP Securities. Please go ahead.
Trevor Cranston: Hey, thanks. I have a follow-up on your commentary about that two sided rate risk you are always managing with the portfolio. I was looking at the performance OAS charts on slide six and 15s have obviously underperformed, 30s quite a bit since beginning of 2017, which I would guess is partially at least related to the flattening of the curve. So I was just curious if you could talk about how you guys think about the role of 15s in the portfolio, particularly when we’re in a flattening curve environment? Thanks.
Chris Kuehl: Yes, sure. This is Chris. So we’ve reduced our 15 year weighting over the last year so quite a bit from around the low 30 -- just below 30% to 16% as of June 30th. 15s is as you mentioned has had a number of headwinds with the flatter yield curve, low prepayment risk and just general low levels of volatility. And so we’ve been willing to reduce that position. With that said, I think at current valuations we think 15s will be reasonably well supported just given pretty favorable tacticals with net negatives supply. And there are very few short spread duration alternatives for investors with reasonable liquidity. And so for those reasons and diversification reasons we’re not likely to take it down materially from where it currently is. But hopefully that helps to answer your question.
Gary Kain: Just what I would add is keep in mind that -- I mean one of the things that the reason mortgages remain profitable for us to invest in even with a flat yield curve is basically it relates to option cost in the prepayment option and that’s really what we’re working with and that’s what drives our levered returns. And in the case of 15 year and in particular seasoned 15 year there’s so little option cost that the spreads are lower and the ROEs on a levered position are a lot lower. You would have to run considerably higher leverage on 15s and not to the tune of 1 or 2 turns to get close to the ROEs, which we don’t -- so we don’t like that trade off. And the tradeoff gets harder in an environment where the entire spread or a big chunk of the spread comes from option cost. So that’s a key driver of the mindset and it’s more, I would say secular than it is market timing related to what we think of 15 years this month versus next.
Trevor Cranston: All right. Okay, that’s helpful. Thank you.
Operator: The next question is from Mark DeVries with Barclays. Please go ahead.
Mark DeVries: Thanks. So we obviously had a lot of M&A in the mortgage space this year, Gary you mentioned in your comments on what your view as some of the relative advantages or even disadvantages of getting larger and also coming on your appetite for M&A here?
Gary Kain: Sure, and thank you for the question. I think it is very relevant. So look I think it’s important to recognize that generally speaking size does help when you’re talking about how companies in the space trade. And in terms of things like price to book ratio -- and those are relevant and they affect your flexibility, your ability to raise capital, your ability to do other things. So size is an important factor, but really more important is in our case is an internally managed company as we grow or if we grow, our expense ratio drops. And if you look at expense ratios and other kind of financial asset managers, these things are reasonably important in today’s day and age, I mean, the days the people ignoring fees and ignoring kind of expense ratios I think outside of this space are over. And so big picture we look at our expense ratio and view it as something that is very relevant to the long run kind of value proposition that AGNC kind of gives investors. So, that's really the bigger of the two benefits, if you grow, but on the other hand you got to be disciplined. And you should grow when you feel like the investment opportunities are there and when you're talking about raising capital accretively or certainly not dilutively. Now when we get to the M&A activity, honestly we struggle with understanding how buying other mortgage REIT vehicles are really realistically buying their assets above book value is competitive versus just raising equity. And so practically speaking we are very willing to participate in M&A activity, but I mean, where transactions have occurred, the levels are absolutely not justified relative to -- honestly relative to doing nothing, but also relative to just accessing the capital markets more generically as we've done.
Mark DeVries: Okay, great. Thanks that's helpful.
Gary Kain: No problem. 
Operator: And our last question today will come from Jim Young with West Family Investments. Please go ahead.
Jim Young : Hi, Gary. You had mentioned that you expect the long-term inflation expectations to remain well anchored. And as you think about how the economy develops and how Fed policy evolves can you give us a sense and some insights into your thinking about leverage and how you're thinking about leverage at 8.3 times for this quarter? At what point in time or what factors are you looking for to determine when you would want to increase leverage and how high leverage do you feel comfortable in over the next couple of years? Thank you.
Gary Kain: Sure, and it's a very good question. Thanks, Jim. What I would say first off is, when you go to the interest rate environment, it absolutely is relevant from the perspective of leverage. First and foremost AGNC, put a huge amount of value on its overall risk management strategy. We are conservative with how we look at our liquidity and we -- in that regard, we have to add up essentially two main risks that can affect the portfolio and where you obviously have to then just manage your kind of leverage position. The first is interest rate risk, so to the extent that we expect a lot of volatility in interest rates or to the extent that we're running a large duration gap. Then that does limit or should limit kind of how much risk we're willing to take with respect to leverage or exposure to spread risk, mortgage spread risk, which obviously can affect valuations and wider mortgage spreads require you to post more margin and so forth. So, there is a trade-off between interest rate risk management and then let's just say increased leverage. That said, I think in most interest rate environments, our interest rate risk is going to remain within a reasonable band. And so the bigger moving part in the future around this total aggregate risk will probably be the leverage level. But keep in mind, first of all that the -- and the space so to speak used to run it like 14 times leverage give or take before 2008. And then just sort of magically ended up at eight after in 2009 kind of through where we are as that being give or take the average. But during that period, clearly the markets have evolved quite a bit, haircuts have come back down. We've seen stability in agency funding and for that matter stability in funding and other -- and even outside of the agency space over the past 10 years. And the lower haircuts alone would account -- would allow us to raise leverage more than two or three times and be in a similar position. So, I think big picture, that’s kind of a starting point for how we look at the interplay between interest rate risk and the interest rate environment versus leverage. To be more specific, I think that, if we were sitting here in two years, I think that the average leverage, on agency mortgage positions were probably be, a little north of 10 we’ll say in 10 to 11 area, is probably is a very reasonable place for it to be in. And I would say that’s sort of consistent with the risk we were taking at 8 times leverage, let’s say in 2010 or 2011, given the changes in the financial markets. So does that cover all your questions?
Jim Young : Didn’t cover all my questions, but you did a great job. So, thank you very much. 
Gary Kain: All right well, thanks a lot.
Operator: We have now completed the question-and-answer session. I would like to turn the call back over to Gary Kain for any concluding remarks.
Gary Kain: I want to thank everyone for your interest AGNC and we look forward to speaking to you next quarter.